Operator: Good day, and welcome to the ToughBuilt Industries First Quarter 2023 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Martin Galstyan, Chief Financial Officer. Please go ahead, sir.
Martin Galstyan: Good morning, and thank you all for joining us today to discuss ToughBuilt's first quarter 2023 financial and operating results. Again, my name is Martin Galstyan, and I am the Chief Financial Officer of ToughBuilt. Joining me on today's call is Michael Panosian, President and Chief Executive Officer of ToughBuilt. Michael will begin today's discussion by providing operational and financial highlights from the first quarter. I will then review our financial performance. Michael will conclude the discussion with our growth plan for the upcoming fiscal year and beyond. Before turning the call over to Michael, I would like to remind you that any forward-looking statements made by management are covered under the U.S. Private Securities Litigation Reform Act of 1995 and are subject to the changes, risks and uncertainties described in the press release and in our U.S. security filings. In addition, during the course of the call, we may refer to non-GAAP financial measures that are not prepared in accordance with accounting principles generally accepted in the United States and that may be different from non-GAAP financial measures used by other companies. Investors are encouraged to review ToughBuilt's current report on Form 8-K furnished with the SEC for ToughBuilt reasons for including those non-GAAP financial measures in its earnings release and presentation. The reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures are contained in our earnings press release issued earlier today, unless otherwise noted therein. I will now turn the call to Michael.
Michael Panosian: Thank you, Martin, and thank you all for joining us today. The first quarter of 2023 was very strong for ToughBuilt, resulting in revenues of $20 million, an approximately 17% year-over-year increase compared to the same quarter for 2022. Gross profit for the first quarter was $3.6 million, an 18% improvement over the first quarter of 2022. The increase in gross profit was primarily driven by the increased demand for our products around the world, enabling us to take advantage of economies of scale with our increased product offerings and corresponding revenue growth. In the first quarter of this year, we introduced innovative new lines of pliers, wrenches, and screwdriver, which, combined, represents more than 100 new SKUs. Additionally, we expanded our South American distribution agreement with Sodimac, the largest home improvement and construction supplier in South America, with the initial launch of 15 SKUs in store and 23 SKUs on Sodimac online marketplace. Online sales through Amazon were also strong in the first quarter with $3.8 million in gross sales, representing a 10% improvement from the same period in 2022. In the first quarter, we continued our expansion goals and both increased product offerings and increased distribution. We are enthusiastic to currently be servicing over 18,500 large- and mid-sized storefronts and online portals worldwide, with a total catalog of over 550 SKUs. As a result of strong global market demand for our brand and products, we expect to experience continued year-over-year growth in retail and online revenue in 2023. I will now turn the call back to Martin to cover our financial results in greater details. Martin?
Martin Galstyan: Thank you, Michael. Revenues for the three month ended March 31, 2023 and 2022 were $20.2 million and $17.2 million, respectively, which consisted of metal goods, soft goods and electronic goods sold to customers. Revenues increased in the first quarter of 2023 over the same period in 2022 by approximately $3 million, or 17%, primarily due to a wide acceptance of our products in the tool industry and receipt of our reoccurring sales orders for metal goods and soft goods from our existing and new customers, and introduction of sale of new soft goods products to our customers. Increase in sale through Amazon also contributed to the increase. Cost of goods sold for the three months ended March 31, 2023 and 2022 was $16.7 million and $14.2 million, respectively. Cost of goods sold increased in 2023 over 2022 by $2.4 million, or 17%, primarily due to increased sales. Cost of goods sold as a percentage of revenues for the first quarter of 2023 was 82%, in line with 83% from the same period in the prior year. Selling, general and administrative expenses for three months ended March 31, 2023 and 2022 were $15.1 million and $15.9 million, respectively. SG&A expenses as a percentage of revenues for the first quarter of 2023 was 78% compared to 93% for the same period in the prior year. We expect our SG&A expenses to decrease. Research and development costs for three months ended March 31, 2023 and 2022 were $3.5 million and $2.5 million, respectively. The increase was primarily due to the development of new tools for the construction industry. For the first quarter of 2023, we recorded a net loss of $8.3 million as compared to a net loss of $12.1 million for the three months ended March 31, 2022. This improvement was primarily due to sales increase, cost reductions in many areas and slowdown in hiring. As of March 31, 2023, ToughBuilt's cash position was $2.4 million. Accounts receivable and inventory for the period totaled $12.5 million and $33 million, respectively. Management anticipates that our capital resources will improve as our products gain even wider market recognition and acceptance. I will now turn the call back to Michael for his final remarks. Michael?
Michael Panosian: Thank you, Martin. I would like to reiterate the tremendous market opportunities that exist at ToughBuilt and the infrastructure we have in place to capitalize on those opportunities. We are satisfied with our R&D structure and will not be adding significant headcount in 2023. Moving forward, we plan to continue expanding our product portfolio prudently, raise some prices and cut costs globally. We anticipate that through all the efforts, we will increase our global reach, launch some more lines and push towards profitability. In closing, I want to thank our shareholders and our team for helping grow ToughBuilt into a high-quality brand that customers can rely on. I'm looking forward to the upcoming year and remain highly confident in our ability to execute on our prudent growth, cost savings and profitability plans. With that, I would like to turn it over to our operator.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] This concludes our question-and-answer session as well as our conference call for today. Thank you for attending today's presentation. You may now disconnect.
 :
 :